Operator: Greetings and welcome to the TrueBlue Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. As a reminder, this conference is being recorded. At this time, I'd like to remind everyone that today's call and slide presentations contain forward-looking statements, all of which are subject to risks and uncertainties and management assumes no obligation to update or revise any forward-looking statements. These risks and uncertainties, some of which are described in today's press release and SEC filings, could cause the actual results to differ materially from those in these forward-looking statements. Management uses non-GAAP measures when presented financial results. You are encouraged to review the non-GAAP reconciliations in today's earnings release or at trueblue.com under the Investor Relations' section for a complete understanding of these terms and their purpose. Any comparisons made today are based on a comparison to the same period in the prior year, unless otherwise stated. Lastly, a copy of the company's prepared remarks will be provided on TrueBlue's Investor website at the conclusion of today's call and a full transcript and audio replay will be available soon after the call. It is now my pleasure to turn the call over to Taryn Owen, President and Chief Executive Officer.
Taryn Owen: Thank you, operator and welcome everyone, to today's call. I am joined by our Chief Financial Officer, Carl Schweihs. We appreciate you being here with us. As expected, market conditions remain challenging. Revenue for the quarter was $382 million, down 19% compared to the prior year as uncertainty and client caution continued to weigh on the staffing industry, leading to reduced business spend and curbed hiring trends. Customers are looking for market confidence to grow before making significant adjustments to their workforce strategies. This hesitancy is apparent in both current client volumes as well as new business trends with engagements starting at subdued levels following an elongated decision process. Given the labor dynamics at play, we are focused on the areas we can control to meet the needs of the current market and ensure we are well-positioned to support demand as workforce needs expand. Our teams are doing tremendous work, meeting customers where they are today with short-duration and flexible solutions, while also establishing new relationships that will drive future growth. For example, as the economy slowed, one of our long-standing, national on-site customers, a Fortune 100 retailer, reduced their contingent labor as their own volumes declined. We maintained a strong connection with the customer while serving fewer locations, and as the customer reopened and launched new facilities, we were there to support their needs, expanding to the new sites and deepening our relationship. Another example comes from our PeopleScout team who secured an RPO engagement early in the year with a multinational food products company. Driven by our exceptional service and execution, that client relationship has recently expanded to encompass MSP and professional search services. These examples are a testament to our teams’ ability to adapt and create opportunities for additional growth. As our teams stay highly engaged with clients to address both their immediate and evolving needs, we are also scaling our operating structure to align with current market demand, while delivering efficiencies to ensure we are ready as customer volumes return. We understand the current labor dynamics and we are managing through the cycle with the discipline and agility needed to ensure we are even better positioned as conditions improve. We are also committed to advancing our strategic priorities to capture market share and enhance our long-term profitability. We made significant progress during the quarter accelerating our digital transformation, expanding our presence in attractive end markets, and simplifying our organizational structure to better leverage our inherent strengths as we look to capture the growth opportunities ahead. Positioning our contingent staffing business to better compete in a digital-forward future is a key strategic priority. Our expansive local presence powered by our national footprint and differentiating technology sets us apart as a market leader. We have successfully rolled out our new, proprietary JobStack app across our branch network and national account base, well ahead of our year-end goal. This transition marks a significant milestone in the digital transformation of our business as the proprietary technology allows us to control our roadmap and quickly address evolving user needs, increasing the ease in which customers and associates engage with us. We are excited by the early success of our launch as we leverage real-time insights to implement enhancements. For example, customers shared their desire for an easy way to get high-performing associates back on their worksites, and we responded quickly with an exclusive invite feature that connects the associate to the customer using a fast and seamless experience. These insights allow us to implement competitive enhancements faster, rapidly improving our products and services, and continually expanding the value we bring to our customers and associates. We look forward to developing additional features as we strengthen our market position through a differentiated experience that combines our technology with our expansive market presence and expertise. Another key strategic priority is our expansion in high-growth, less cyclical and under-penetrated end markets to capitalize on secular growth opportunities. We have continued to expand our healthcare presence across the organization, and we have developed a strong position in attractive skilled trade markets, including commercial driving services and renewable energy work. Leveraging our deep expertise and expanded service offerings, we delivered our third consecutive quarter of growth in commercial driving services. While our renewable energy work did not grow in the quarter, we are up double-digits for the year. Fluctuation in client volumes is expected given the nature of these projects, and the pipeline remains healthy, positioning us well to capture further growth opportunities in this space. We have also continued to diversify our RPO business into higher skilled placements, including professional search, and leverage our flexible solutions to capture growth opportunities in attractive end markets, such as technology and professional services. We are energized by our early success, winning new deals and expanding existing relationships with higher skilled roles and serving high-growth and high-value end markets. As customer volumes return, the scale of these engagements will drive further opportunities for revenue expansion. A third strategic priority is simplifying our organizational structure to drive enhanced focus, growth, and profitability. Streamlining creates opportunities to reduce inefficiencies and brings our teams closer to our clients and associates to deliver operational excellence. We have made notable strides in this area and continue to operate with discipline, to create greater agility and flexibility to scale as we look to realize future growth. We reduced our operating costs by 17% for the quarter, and beyond that, we are already seeing benefits from our efforts in the form of increased synergies and cross-selling as we eliminate silos and enhance our focus on our core specialties. Although current labor market dynamics are challenging, the long-term staffing outlook remains positive. We are managing through the cycle with the discipline and agility needed to ensure we are strategically positioned for even stronger growth and profitability when customer demand volumes return. Evolving workforce needs and structural staffing shortages will create compelling opportunities for our business, and our competitive strengths, tremendous assets and clear strategic priorities position us well for growth. We are excited about the opportunities ahead and we are confident that we have the right people, technology, and resources to drive our strategic priorities forward, enhancing shareholder value and advancing our mission to connect people and work. I will now pass the call over to Carl, who will share further details around our financial results and outlook.
Carl Schweihs: Thank you, Taryn. Total revenue for the quarter was $382 million, a decline of 19%. Overall market demand for temporary labor and permanent hiring continues to be suppressed as clients focus on reducing their operating costs and remain hesitant to make full-time hires due to uncertainty in their workforce needs. While these factors led to overall subdued client volumes, our commercial driving services showed strength, delivering double-digit growth for the quarter. This marks the third consecutive quarter of growth for our commercial driving services and our team continues to capitalize on this momentum, pursuing additional growth opportunities in this space. Gross margin was 26.2% for the quarter and flat compared to the prior year. There were a couple of offsetting components for this quarter. Changes in revenue mix, both from more favorable trends in our lower margin, PeopleManagement segment as well as a decline in our highest margin business, PeopleScout, drove a decline of 80 basis points. Pricing pressures consistent with the current market environment contributed another 60 basis points of decline. These factors were offset by 140 basis points of expansion from lower workers’ compensation costs driven by favorable development of prior year reserves. We reduced SG&A by 17% as we remain committed to enhancing our profitability. We are focused on the areas we can control, which is demonstrated by our disciplined actions to better align our cost structure with client demand, while also creating greater flexibility to scale as industry demand rebounds. We have made significant progress simplifying our organizational structure and creating efficiencies that are already driving improved results. Looking forward, our profitability traditionally expands quickly as revenue grows, but with our lean cost structure and improved efficiencies, we are even better positioned to deliver enhanced profitability as conditions improve. We reported a net loss of $8 million this quarter, which included $1 million of income tax expense primarily associated with our foreign operations and essentially zero income tax benefit on U.S. operations due to the valuation allowance in effect on our U.S deferred tax assets. As a reminder, the valuation allowance has no impact on our operations, liquidity, or debt covenants. Adjusted net loss was $3 million, while adjusted EBITDA was $5 million. Now, let’s turn to the specifics of our segments. PeopleReady revenue decreased 24%, which includes 2 points of decline from the sale of our on-demand business in Canada, and segment profit margin was down 200 basis points. Lower client volumes continued to drive reduced demand across most verticals and geographies. We entered the quarter behind our typical sequential build which continued in July but as we progressed through the quarter, we did return to historical sequential trends in August and September. For renewable energy work, we didn’t grow in the quarter due to the lower volume on existing solar projects, mainly driven by high temperatures in the south-west United States, as well as delayed new project starts. Given the nature of these renewable energy projects, these types of delays and fluctuations in volumes are expected. We continue to produce double-digit growth for the year as we capitalize on the secular growth opportunities with a strong market position. From a margin perspective, the contraction was largely driven by the lower operating leverage as revenue declined. PeopleScout revenue decreased 31% and segment profit margin was down 490 basis points. The decline in demand was driven by lower client volumes as businesses continued to navigate challenging market dynamics, responding to cost pressures and uncertainty around their workforce needs. Results for the quarter were also impacted by the loss of a large hospitality client, which accounted for 8 points of the revenue decline. The loss was due to the client’s decision to in-source the hiring of high-volume roles as part of a broader strategy change. At the same time, our team is doing a great job adding clients to the portfolio and has already outperformed the prior year in new business wins. While many of these new wins are starting at subdued levels, we expect these relationships to drive further revenue expansion as customers’ hiring volumes return. The margin contraction was driven by lower operating leverage as revenue declined. PeopleManagement revenue decreased 5% while segment profit margin was up 90 basis points. The decline in demand was driven by lower on-site client volumes, consistent with the macro conditions evident in the verticals we serve, such as retail. This was partially offset by double-digit growth in our commercial driving services, which delivered its third consecutive quarter of growth in Q3. PeopleManagement’s segment profit margin expanded due to disciplined cost management actions to better align our cost structure with client demand and improve efficiencies. Now, let’s turn to the balance sheet. We finished the quarter with no debt, $15 million in cash, and $133 million of borrowing availability. We repurchased $4 million of common stock during the quarter, leaving $34 million remaining under our authorization. While operating cash flows are down, largely driven by changes in revenue mix and the associated working capital, we have a solid balance sheet and a strong liquidity position. This provides us with great flexibility as we look to drive future growth opportunities. Turning to the outlook for the fourth quarter, we expect a revenue decline of 24% to 18%. This includes 6 percentage points of headwind from the extra 14th week in our fiscal fourth quarter last year as well as 1 percentage point due to the sale of our on-demand business in Canada. Our outlook reflects a continuation of current market trends because while there are some bright spots and signs of improvement, we have yet to see an indication as to when overall demand trends will turn. We expect SG&A of $98 million to $102 million, which represents a reduction of roughly $30 million compared to the prior year period as we manage through this market cycle with a commitment to enhance our profitability and ensure we are well-positioned as the demand environment rebounds. Additional information on our outlook can be found in the earnings presentation shared on our website today. Before we open the call up for questions, I want to turn it back over to Taryn for some closing remarks.
Taryn Owen: Thank you, Carl. As you have heard from us today, we remain committed to advancing our strategic priorities and managing through this challenging market cycle with the agility and discipline needed to strategically position us for even stronger growth and profitability when industry demand rebounds. We are confident that our strategic priorities, in combination with our many strengths and assets, will enable us to advance our mission to connect people and work, while delivering long-term shareholder value. This concludes our prepared remarks. Operator, please open the call now for questions.
Operator: Thank you. And this time, we will conduct our question-and-answer session. [Operator Instructions] And our first question comes from Jeff Silber with BMO Capital Markets. Please state your question.
Ryan Griffin: Hey, good afternoon. Thanks so much. This is Ryan on for Jeff. I was just wondering if you could provide a feel for how the customer count has been moving? I think at this point in time, the labor market demand weakness is pretty well understood, but perhaps that's more of a volume issue than customer attrition issue? And then additionally, is there anything you can tell us about the number of customer wins, how the retention has been trending and how those two have been playing into the net customer count? Is it up or down this year? Just trying to understand whether the current revenue weakness is volume-driven versus anything secular going on? Thank you.
Taryn Owen: Hi Ryan, thank you so much for the question. Despite the ongoing market challenges and subdued customer demand, our teams are continuing to retain and expand existing customer relationships as well as win new customers, positioning TrueBlue favorably for significant growth when volume returns to historical levels. In our PeopleReady on-demand business, although revenue for the quarter declined sequentially from quarter two, our customer count continued to grow sequentially into quarter three, which is a trend that did continue from the prior quarter. In our PeopleScout business, that business has nearly doubled the total of new annualized wins in comparison to this time last year. And many of those wins are in attractive markets like healthcare as well as higher skilled professional roles. And then our PeopleManagement business, new wins are up double digit year-to-date on annualized win volumes. Within that, Centerline, as we mentioned, continues to outperform the market, delivering double-digit growth for the quarter. and now three consecutive quarters of growth in a row. And in that business, we saw both significant expansion with an existing customer as well as new logo wins being added to the portfolio. So, certainly, the strong customer retention, scope expansion, and new customer wins is positioning us very nicely to capture market share as volumes return to normalized levels, both with our current customers and the new customers that we're bringing on board.
Ryan Griffin: Understood. Thank you. And then you typically provide the revenue growth rate by segment. I was just wondering if you have that? And then if you have the bill pay spread for the quarter? Thank you very much.
Carl Schweihs: Yes, of course. Thanks for the question. So, yes, if we just kind of look on Q4 guidance, I'm going to kind of start with TrueBlue, then walk us through. We've got a couple of items that I want to call out, and then I'll give it on a comparable basis. But when you're thinking about Q4 guidance, and I'm going to give midpoints here, Ryan, but TrueBlue is at minus 21%. We also have Canada that's causing about a point of -- a negative point of growth for TrueBlue and then 2 points of decline for PeopleReady, which will lapse as we get over those comps in Q1 here. And then also, it's just a reminder, our prior year Q4 had an extra week, and that's creating a headwind of about 6 points in total on TrueBlue. So, to kind of take it back for Q4, on a GAAP basis, midpoint of down 21% for TrueBlue, down 24% for PeopleReady, down 13% for PeopleManagement and down 30% for PeopleScout. When you take it on a comparable basis, those midpoints are down 14% for TrueBlue, down 15% for PeopleReady, down 7% for PeopleManagement, down 28% for PeopleScout. And then you also asked about bill pay spreads. Just on bill pay spreads, so our pay rates were up about 1.5%, while our bill rates were up 0.2% in our PeopleReady business. As I mentioned in the prepared remarks, that led to about a 60 basis points decline in margin. And as we've talked about on the last call, Ryan, we've seen our pay rate growth continue to moderate throughout the year. And this is from the all-time highs that we experienced kind of post pandemic. We were in the 10% pay rate growth in 2021. That moderated to like 7% growth in 2023, and now we're sitting at 1.5%. We'd expect for this kind of same trend to continue in Q4, and we've seen that pay rate trend continue to get lower as well into October.
Ryan Griffin: Great. Thank you very much.
Carl Schweihs: Thank you.
Operator: Our next question comes from Mark Marcon with Baird. Please state your question.
Mark Marcon: Hey good afternoon. I had a couple of different questions. One, just wondering about hurricane impacts, both in terms of negatives relative to positives. Obviously, anybody who looks at one of your -- one of the maps can see that there's a lot of PeopleReady branches around Tampa and Sarasota. So, wondering how much disruption did you end up seeing? And then sometimes you end up getting a lot of cleanup work, how much cleanup work are you getting? And how is that factoring into the guide?
Taryn Owen: Hi Mark, thank you for the question. As we're dealing with the hurricanes, our first priority is always to ensure the safety of our staff and provide support to our impacted team members in a situation like this and be able to really resume operations just as quickly as possible because we do play a critical role in the cleanup efforts in the communities in which we serve. PeopleReady provides on-demand support in disaster recovery efforts. We're currently working with more than 20 organizations that are focused on those cleanup efforts. In the upcoming months, as construction plans are approved and permits are awarded, our PeopleReady skilled trades business will play a role in restoration and rebuilding. In regards to Helene and Milton specifically, we were able to quickly resume operations in all impacted areas. Our branch office in Asheville, North Carolina was damaged. So, the team is working from a mobile unit for business continuity in that area. And because the associate pool is quite limited in Asheville, we have brought in our traveling teams to meet the customers' needs and again, be able to play the critical role of supporting the community.
Carl Schweihs: And just to add on to that, I know you're kind of from a financial standpoint, you're asking for the impact. These typically have an immediate negative impact for us, Mark, and then they tend to be, call it, net neutral, slightly positive for us as we do those cleanup efforts that Taryn was talking about. The timing of these hurricanes did have a slight impact on Q3 and Q4 with kind of both of them. There was about $700,000 for Q3 with Helene and approximately a negative impact of about $900,000 for Milton in October here.
Mark Marcon: And you don't think that the subsequent rebound in terms of all the work is going to be significantly more than what the negative was?
Carl Schweihs: We do -- I mean if we look at all of these kind of over time, it is -- again, I would say it is net neutral to net positive depending on the impact and where our cleanup efforts are. We have those in our guidance, and we would start to see that over a longer period of time as those recoveries come in, and that's included into our outlook.
Mark Marcon: Okay. Can you talk a little bit about the renewables business? I mean you mentioned that it slowed down and understandable in terms of the weather impacts. But how quickly do you expect that to resume, particularly now that it's getting a little bit cooler?
Taryn Owen: I'll start. From a renewables perspective, certainly, our pipeline remains strong. We actually secured four new logos in our PeopleReady Renewable business for those large-scale utility solar projects in the quarter, which will bring revenue in 2025. So, this is a lumpy business, but we still feel very confident in the mid and long-term opportunity here. It was really weather impact in a couple of states where we had some large sites and some hot weather. I would just say in addition to the PeopleReady Renewable business that we've talked about historically, Mark, we have started to see some wins outside of PeopleReady as well. Our PeopleManagement business secured wins with a solar company that does solar panel manufacturing in New Mexico. So, we're excited about that as well as another new win where we'll provide skilled roles in solar and electrical and beyond. And then finally, PeopleScout had a recent win with a clean energy company to hire engineering roles. So, as much as we continue to focus on the renewable business that we've talked about, we are starting to get some opportunities outside of that as well.
Mark Marcon: Thanks. And then lastly, just with regards to the hospitality company, it sounds like that's a broad-based move that they're making towards in-sourcing. Can you talk about what you're seeing with some of your other large clients just in terms of discussions with them? How much of them are maintaining the contracts, but have continued to use internal resources to a greater extent? And what are your Net Promoter Scores or any other form of feedback? How is that trending with some of your existing RPO clients?
Taryn Owen: Yes. Thanks for the question. This hospitality client was a unique business decision and I would call it an outlier from what we are experiencing and seeing from our other customers in terms of business strategy change to outsource for -- or to in-source rather for the long-term. Across the rest of our customer base, we're seeing lower volumes. And in cases where recruiting volumes are extremely low, we do see clients take some of that outsourced recruitment in-house really in an effort to retain their in-house recruiting teams and keep them busy. And as we've been talking to these customers, we have the contracts alive. We're staying close to them. And we fully expect to be part of their long-term solution once those volumes return and exceed the capacity of their in-house recruiting teams and we've seen this in prior cycles as well. Really by the nature of the RPO business, we are built to support our customers' ability to scale up and down during various hiring volumes, and we believe that RPO will return to historical growth rates. So, we're getting great feedback from the customers. We check in with them regularly, and we're certainly well-positioned to support them as their needs change and expand.
Mark Marcon: Thank you.
Operator: Our next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Hi, good evening. Maybe Carl, just thoughts on how the quarter trended and what you saw maybe in October, just to get a feel for how business trends out then?
Carl Schweihs: Yes. Thanks, Kartik, for the question. As I kind of mentioned, when we think about kind of October and our Q4 guide, October really trended in line with where those midpoint guides I gave earlier. So, that's at like minus -- on a comparable basis, minus 14% for TrueBlue, minus 15% for PeopleReady, minus 7% for PeopleManagement, minus 28% for PeopleScout. So, right in line with our outlook and guidance.
Kartik Mehta: And Taryn, just curious how your customers react or maybe how business is trending because of the holiday season this year in December, kind of odd day, maybe taking out two weeks of business. I'm wondering if that is having any impact on your business?
Taryn Owen: Well, I would say that just overall, from a customer sentiment perspective, there's -- our customers just continue to communicate that it's an uncertain environment. They're using caution and really being mindful of their future workforce plans. And as far as an inflection point, they're certainly looking for more certainty, so they can feel confident in planning those workforce needs. Our best indicator is when our customers say that they need our help. And so we're staying highly engaged to ensure that we're well-positioned, and we're really close to our customers around their workforce needs now and through the end of the year, and our guidance reflects that.
Kartik Mehta: And just one last question, Carl. I know we talked a little bit about this last quarter, which is the leverage in the business. You've taken some actions in the business to lower the cost. And I'm wondering, as you look at incremental margins for the business when we get -- when this industry gets back to kind of normalize and obviously, you'll see some increased revenue growth. I'm wondering what type of incremental margins would you expect if we -- let's say, we get revenue growth of 10%, 20%?
Carl Schweihs: Yes. Thanks, Kartik, again for the question. So, yes, we are -- I think we've done a really good job managing costs this year as we, kind of, guided to continued cost management. We've taken out over $70 million of cost this year, and we do think it will lead to improved margins. So, I think we talked about this on the last call as well. But if you just took kind of a 10% revenue growth across our business, we historically have kind of incremental margin of 15% to 20%. We feel like with the cost actions that we've made, we're going to be north of 20%, call it, 20% to 22%, maybe even do a little bit better depending on the segment where that comes in. But if you just took it across the kind of our model, we'd look at anywhere from 30 to even 50 basis points of margin improvement to kind of historical margins. So, we're pleased with the work we've done there, but still yet to see kind of that indication of that demand returning to those levels. But when they do, we'd expect for higher profitability than we've historically seen.
Taryn Owen: And if I could add to that, there's another benefit that has come from the org structure work that we've done as an organization. We're seeing improvement in several of our key metrics, things like fill rates, associate utilization, improved safety scores, and our cross-selling efforts and wins have increased as well. Just a couple of examples from the quarter. We won a joint pursuit by PeopleReady and PeopleManagement to serve a scrap metal company. And PeopleScout just secured a new win serving a pharmaceutical client in partnership with our PeopleManagement team. So, the ability to break down some of these silos and have our teams working closer in collaboration has been a real benefit.
Kartik Mehta: Perfect. Thank you very much.
Taryn Owen: Thanks Kartik.
Carl Schweihs: Thanks Kartik.
Operator: Thank you. [Operator Instructions] Our next question comes from Marc Riddick with Sidoti & Company. Please state your question.
Marc Riddick: Hi good evening.
Carl Schweihs: Good evening Marc.
Marc Riddick: So, I was wondering if you could talk a little bit about JobStack and the commentary around the timing and how things are going with the rollout and it certainly sounds like it's encouraging from an initial perspective. Maybe you could talk a little bit about -- I think I guess the commentary was it being ahead of schedule? And then maybe you could sort of talk a little bit about what your initial pressures are or if there's any areas that as far as feedback that you're receiving that you can share there would be great? Thank you.
Taryn Owen: Thanks for the question, Mark. Yes, we are very happy to have successfully rolled out our new proprietary JobStack app across our branch network and national account base well ahead of schedule. Just as a reminder, this new version allows us to control our roadmap and quickly address our evolving user needs, both on the customer as well as the associate side. And we're already gaining some positive momentum from the initial launch with our enhanced ability to really quickly address their feedback and their needs. So, I'll just give a couple of examples. First, we implemented a tech supply feature that makes it easier for our candidates to access our new app, which enhances their user experience, and ultimately, streamlines the job search process for them. And just in the first couple of months, we've seen an improvement to the adoption rates as more candidates are turning to the app to engage with our services. And on the customer side, we've made an order extension feature more intuitive, making it easier for a customer to essentially extend an associate that is working on their customer site in a very easy and user-friendly way. As we move forward here, we have a robust roadmap that's really focused on features and functionality that is designed to enable growth for the organization. So, we're really excited about it and anxious to continue to build on this asset.
Marc Riddick: Excellent. And then I was sort of thinking about the -- maybe we can sort of share some thoughts as to any of the -- I think in your prepared remarks, you made some commentary around certain areas and certain places that might be viewed as bright spots. I was wondering if you could talk a little bit about maybe is that industry focused, sector-focused or geographically or where our bright spots are at this point?
Taryn Owen: Yes. I'll get us started. A couple that I would highlight is renewable. I mentioned earlier that we've continued to get some wins in the PeopleReady business as we prepare for further growth as we move forward here and seeing some wins in this space in businesses outside of PeopleReady is something that we're really excited about. On the skilled side, we've had nice growth in our Commercial Trucking business, where we've seen some customer expansions and new logo wins there. And in healthcare, PeopleScout has secured six new wins in healthcare so far this year, supporting a variety of clinical roles. And we had a recent win in PeopleManagement, supporting a pharmaceutical company with driver positions in healthcare. And then finally, we've talked about our efforts to expand the roles we serve in PeopleScout to hire skilled placements. And so, happy to report that PeopleScout won a full cycle RPO deal recently with a U.S.-based global technology firm, where we'll hire 250 professional and technical hires in their insurance services business in Australia, and we'll then move to further expand support in India, U.S., and beyond. So, making some really good progress in that area as well.
Marc Riddick: Okay, great. I guess that’s it from me. Thank you.
Taryn Owen: Thanks Marc.
Carl Schweihs: Thanks Marc.
Operator: Thank you. And at this time, I'm showing no additional questions. So, I'll hand it back to Taryn Owen for closing remarks. Thank you.
Taryn Owen: Thank you, operator and thank you, everyone for joining us today. I also want to take this opportunity to thank the entire TrueBlue team for their tremendous efforts in providing our customers and associates with exceptional service and for their commitment to advancing our mission to connect people and work. We look forward to speaking to you at upcoming investor events and on our next quarterly call. If you have any questions, please don't hesitate to reach out. Have a great evening. Thank you.
Operator: Thanks. And that concludes today's call. All parties may disconnect.